Operator: Good morning, and welcome to Crown Holdings Fourth Quarter 2013 Earnings Conference Call. (Operator Instructions). Please be advised that this conference is being recorded. I would now like to turn the call over to Mr. John Conway, Chairman of the Board and Chief Executive Officer. Sir, you may begin.
John Conway: Thank you, Wendy. Good morning, everyone. With me on the call are Tim Donahue, President and Chief Operating Officer; and Tom Kelly, Senior Vice President and Chief Financial Officer. I will make some brief introductory comments regarding the company's performance for the full year and then turn it over to Tom Kelly who will take you through the numbers and give you some additional detail. Tim Donahue will review carefully the performance of the various businesses and discuss our views about how the business is developing for the year. Let me remind you that on this call, as in the earnings release, we will be making a number of forward-looking statements. Actual results could vary materially from such statements. Additional information concerning factors that could cause actual results to vary is contained in the press release and in our SEC filings, including comments in the section titled Management's Discussion and Analysis of Financial Condition and Results of Operations in Form 10-K for 2012 and in subsequent filings. 2013 was another good year of solid progress for Crown. Earnings per share were up from $2.81 to $2.99 before certain items and this was after some bad debt issues with two different customers in our food businesses on each side of the Atlantic. Our largest global business, beverage cans, increased unit sales by 5%, with strong revenue growth and strong EBITDA growth. In all the beverage can markets in which we participate around the world, we believe that we not only grew in line with the market, but in certain cases faster than the market thereby gaining market share. The company managed its capital projects exceptionally well during the year, spending only $275 million, but by doing so we added substantial capacity in critically important growing markets which are so central for the future of Crown. Our free cash flow was a record $641 million as we actively managed every facet of revenue and cash generation. Taking 2012 together with 2013, the company generated slightly less than $1 billion of free cash. Throughout the year, we were engaged in significant targeted cost reduction programs in all of our businesses, but with special emphasis on our European business to improve operations and reduce headcount at every level. We are aggressively driving to achieve headcount levels equivalent to the best within our company globally. The fourth quarter was somewhat softer than we had anticipated it would be at the outset of the year. The principal cause of course as we’ve described to you earlier, was a weakening of demand in Europe from what we’d expected in our food can and specialty can businesses. This was a reflection of weak European economies. However, we are seeing signs of recovery in most of our major European markets and this bodes well for 2014. Looking ahead to 2014, we feel very confident about the various initiatives that we have underway. I will anticipate some of your questions regarding Mivisa, the leading Spanish food can company that is under contract by saying that we are working constructively with the European commission through all issues that concern them. We are pleased with the efficiency of the process and hopeful that we will have a successful conclusion. And with that, I'll turn it over to Tom.
Thomas Kelly: Thank you, John, and good morning everyone. Diluted earnings per share for the full year of 2013 were $2.30 compared to $3.77 in 2012. Diluted earnings per share on a comparable basis were $2.99 compared to $2.81 in 2012. The comparable earnings per share of $2.99 in 2013 is after recording charges of $39 million of $0.22 per diluted share after tax to fully reserve for the balance due from the North American food can customer and to write down the balance due from a European food can customer for the amount we currently expect to realize. Net sales for the year were up about 2% due to higher global beverage can volumes and favorable currency translation, partially offset by lower food can volumes. The acquisition of Superior Multi-Packaging at the end of 2012 added $100 million of incremental sales in 2013. Global beverage can volumes increased 5% for the year, with food can volumes down about 1%. Overall segment income for the year was $917 million, compared to $895 million in the prior year, and including current year charges of $39 million for receivable reserves as mentioned. Free cash flow for the year of $641 million was well in excess of our previous guidance due to benefits from our continuing initiative to reduce working capital, the impact of lower food can production in the fourth quarter and the favorable impact of currency translation due to the stronger Euro at the end of the year. At this time, we are estimating our full year 2014 comparable earnings per share to be in the range of $3.15 to $3.35 per diluted share and our 2014 first quarter to be in the range of $0.45 to $0.55 per diluted share. Both the quarter and full year estimates exclude any impact from the Mivisa acquisition. Note that the full year estimate does include $400 million of assumed share repurchases to be consistent with the scenario that excludes the impact of Mivisa. Our share repurchase plans however would be reviewed upon a successful closing of the Mivisa transaction. Finally, I have a few modeling items for 2014. We currently estimate 2014 pension expense to be approximately $63 million compared to $75 million in 2013. We project an effective tax rate of 25% for 2014 and depreciation expense of approximately $150 million. We currently estimate our 2014 full year free cash flow to be approximately $450 million, again excluding any impact from Mivisa, with capital spending of approximately $275 million I'll turn it over to Tim.
Timothy Donahue: Thanks, Tom and good morning everyone. As both John and Tom stated, we had a solid performance in 2013. Global beverage can volumes increased 5% in 2013, which is on top of the 5% growth we experienced in 2012 offsetting much of the impact from substantially lower fourth quarter production levels across food and the bad debt provision. For purposes of the operational review, I’ve excluded the impact of the bad debt provision to provide better comparability. So, on a comparable basis, segment income and earnings per share increased 7% and 14% respectively in 2013, reflecting the contribution from higher beverage can sales and lower costs which offset somewhat softer food can demand and political turmoil in some markets. In Americas Beverage, unit sales volumes improved a bit more than 1% and segment income was up 5% for the year, as the 7% volume increase across our Latin American platform, that is Brazil, Colombia and Mexico, offset a 1% decline in our North America. Demand in Brazil remained strong and the can -- with the can continuing to take a higher share of the overall packaging mix. We could have sold more if we had the capacity and we do look forward to commencing operations at our new plant in Teresina in a couple of months. The North American volumes relates -- decline relates almost entirely from the closure of operations in Puerto Rico, without which we were almost spot on the prior year levels. In North American food, we continued to perform very well with overall segment margin at 16.2% for the year, a result of continued operational excellence and site cost controls. The entire annual shortfall income in volume was accounted for in the fourth quarter. Volumes were down about 5% in line with the market and owing entirely to ceasing shipments to a bankrupt customer. Overall food can production activity was down mid double digits, sharply lowering absorption rates as we sought to lower inventories and drive as much cash as possible out of the business. Sales volumes in European beverage were up more than 4% for the year, with contribution coming from our new plant in Turkey as well as from overall market growth and higher can penetration rates. The increase in volumes and better manufacturing performance led to an 18% improvement in segment income year-on-year. Fourth quarter segment income in European food at 5% to net sales reflects 3% lower sales volume and lower cost absorption as we substantially reduce production activity. For the year, segment income was off 60 basis points to 2012 due to lower volumes, unfavorable mix and much lower fourth quarter production activity. Revenues in Asia Pacific grew by more than 20% for both the full year and fourth quarter on the back of double digit volume gains in beverage cans and the contribution from the acquisition of Superior Multi-Packaging in late 2012, offsetting sluggish food can sales in Thailand. Political unrest in Cambodia and Thailand and the cost associated with new beverage can startups in Southeast Asia offset a strong 2013 income performance in China. In 2013 we completed the construction of five beverage can lines across Asia Pacific, including three new plants in Southeast Asia. We began our Greenfield expansion program in Asia four years ago and over the last four years, our Asian team has constructed eight new plants and a total of 13 beverage can lines, adding more than 9 billion cans of capacity. During this time, revenues and segment income have increased 90% and 53% respectively. It has been a great effort by the Asian team as well as our equipment makers and the construction engineers who have established an outstanding platform from which we can continue to grow and benefit the company for many years to come. In non-reportables, the aerosols and equipment businesses had a strong finish to the year. Higher unit volumes and lower cost offset the impact of economic weakness on the specialty packaging business. All in all, the operation performed very well in 2013 despite a number of challenges. We continue to grow the global beverage can business with several successful startups and we’re taking steps to reduce costs in both European food and specialty businesses, where the impact from low European growth and weak economies has been felt the most. Manufacturing efficiency and our attention to tight cost controls drove performance and allow us to continue to serve our customers with innovative, high quality competitive packaging. With that, I’ll turn it back over to John.
John Conway: Thanks, Tim. I think Wendy we're ready for questions.
Operator: (Operator Instructions). The first question today is from Scott Gaffner with Barclays.
Scott Gaffner – Barclays Capital: Good morning. I just wanted to get a little bit more clarity on the free cash flow guidance. You said $450 million. We're coming off obviously a strong year in 2013. Was there some pull forward of free cash into 2013 versus 2014?
Thomas Kelly: No, not really, Scott. The working capital improvement we have in 2013 is sustainable. We’re not going to flip that back. But we won’t be able to generate quite as much in 2014 which is a large part of the difference. Interest and tax cash payments will also be up a little bit in 2014 compared to ’13. And I’d say those three components pretty much account for the difference.
Scott Gaffner – Barclays Capital: Okay. So we should be expecting flat working capital year over year in 2014? And then maybe you could just talk about the improvements in the working capital in 2013, what was driving that.
Thomas Kelly: To the first part, yes. More or less the working capital should be flat, perhaps somewhat of a source in 2014. We don’t think we’re quite done with the working capital initiatives. In 2013 really compared to our guidance the benefits came from a few places. Tim talked about lower food can production, which certainly helped. We had ongoing initiatives to reduce working capital. Compared to our estimate, it came in a little bigger, perhaps a little sooner, but it’s always been in our plans. The third thing that helped us compare this original estimate was foreign currency. I don’t think we fully counted on the Euro staying at the rate it did at the end of the year and that definitely helped us. And finally, there was some element of conservatism in our original number.
Scott Gaffner – Barclays Capital: Okay, great and just one last question. John, you talked about you were seeing some signs of recovery in Europe after a soft 4Q. Is that built into the guidance, the recovery? Or it seems like the guidance might incorporate something a little bit more conservative around your European outlook in 2014?
John Conway: We are trying to be quite conservative. So no, we’re not -- we haven’t built into our numbers a real solid bounce back of the type frankly that we expected last year, in 2013.
Operator: The next question is from George Staphos with Bank of America..
George Staphos – Bank of America Merrill Lynch: Good morning. Guys, I was wondering if you couldn't -- I know you went through the details in some cases, but could you give us a quarterly and full-year volume change for 2013 versus the prior year for your key businesses? And related question, can you go through again what the amount of food can downtime was in the quarter? I guess you’ll mention it in the volume outlook, and what the impact from an earning standpoint was?
John Conway: George, I don’t think we’ve got all the information that you’re asking for, but we can certainly give you full year and maybe a little perspective on the quarter. Tim, do you have something handy there?
Timothy Donahue: Yeah. so if you want to start with the Americas beverage business, I think what we said for the full year that unit volumes were up a little bit more than 1% and that was a 1% decline in North America and each of Brazil, Columbia and Mexico were up 6% to 7%. What did I say? On Europe I think we said 4%, 4.3% John is saying in European beverage. Asia was up just about 20%, just about 20% for the year in beverage. European food for the year was down just below 1% and North American food was down about 1.5%, 1.4% for the year.
George Staphos – Bank of America Merrill Lynch: What was the -- can you comment to the volume outlook or volume change, excuse me, in fourth quarter for food on both sides of the pond and what the earnings effect of that downtime was?
Timothy Donahue: You mean the volume or the production?
George Staphos – Bank of America Merrill Lynch: Well, really more the production, yes. Thank you.
Timothy Donahue: Yeah. So, on production in Europe, in food cans and food ends we were down about 6% in production and the cost of that is about a handful, about $4 million or $5 million, $6 million in the quarter. In North America we were down depending on cans or ends. But if I blend them together we were down at least 15% in production activity, ends being higher than that, cans being slightly lower than that and the cost of that is quite significant. When you take that much production activity out, we were down probably on the order of $7 million or $8 million.
George Staphos – Bank of America Merrill Lynch: Do you have any more, if you will, clearing of the decks to do from an inventory standpoint as you look out to 2014? Or do you think your operating stance and inventory levels are well suited for what would be I guess a very modest outlook for 2014? And what happens if, in fact, demand is a little bit better, maybe better than your conservative outlook? Do we then have to worry about inefficiencies that have to ramp up production again?
Timothy Donahue: I think the answer to the last part, we’re not worried about inefficiencies if we have to ramp up. I think the -- as we look at the food can production curtailment in Q4, in Europe clearly the business has been -- sales volumes have been lower than we’ve anticipated over the last several years. So we’re just bringing inventory down, not only to drive out cash but to reflect past experience and potentially what the future might hold. In North America, we had a combination of two things. The fourth quarter soup volumes were not very strong across the industry. We had a bankruptcy of a customer where we immediately ceased production and shipments to that customer in Q4 and we also don’t have the need to ship them cans in Q1 or Q2. But I don’t expect any inefficiency from having to ramp up if we’re fortunate enough to have a recovery in volumes.
George Staphos – Bank of America Merrill Lynch: Okay. Last one and I’ll turn it over. It's obviously been an uneven macroeconomic period for you. What one or two things, John, give you confidence in hitting your outlook and also improving return on capital? Is it the ultimate volume outlook, or is it the steps you are taking the give you confidence in your outlook in that you’ll also see improving return on capital? Thank you.
John Conway: George, actually both. We think as we’ve said earlier, the global beverage business is going to continue to grow. So units will continue to improve. Output will improve. Costs will come down as a consequence. So we think we’re going to see good growth in our beverage business globally really. Unlike some others, we think that North American supply/demand situation is not in peril. We took a look at capacity versus supply reduction over the past I think 12, 13 years and looking at the capacity that’s been taken out by all the by all the participants, we think we’re in reasonably good line, even after the downturn in North America in 2013 which fortunately didn’t affect us at all. so we feel really good about beverage. Food I think is going to recover to more normal levels now. We bite our tongue a little bit saying that and we’re referring clearly to Europe, but I do think the European economies are looking better. We haven’t built it into our estimate for next year, but we think there’s going to be some improvement. So all those things make us feel pretty good about the future. We’re very conscious, George on return on invested capital. We measure it constantly. As you know a measure that we have for returns is economic profit, return in excess of cost of capital. We measure that by business. We’re very, very conscious of it. And at the same time, George, we’ve got to take a look at EBITDA margins, segment income margins. And, of course, not only do we look at it in terms of relevant progress or not within our own company, but we’re constantly benchmarking ourselves to all the other competitors. And I would make the observation, but you can correct me if I’m wrong that in our segment income for example there’s a percentage of sales. We’re basically industry leading in every category and every market that we’re in. even food, even after the difficulties we had with the bad debt situation with a customer in France, I still think with maybe one exception, the company we’re buying, our segment income percentages in Europe lead the pack. So we’re looking at all those things. We think that we’re deploying our capital very, very effectively. But clearly we’ve had some headwinds and it’s basically been European food and [spec] pack. And it's a function we believe largely of the economy. We are not selling very many paint cans. We’re not selling very many industrial cans for chemicals, inks, et cetera and obviously food demand has been somewhat weak.
Operator: The next question is from Adam Josephson with KeyBanc.
Adam Josephson – KeyBanc Capital Markets: John, which segment do you expect to be up most in 2014 in terms of profit? If you could point to one or two.
John Conway: Globally, I think we’re still -- if you exclude the assumption we have that we’re not going to have a recurrence of bad debt situations, but just on a steady state basis, globally I think we would -- our conclusion would be the global beverage can business, with a couple of exceptions where the markets are very, very mature like North America, will probably do better than 2013, more so than others. On the other hand, we do think food is going to rebound in Europe and we’re counting on that, but not very much. We’re being conservative.
Adam Josephson – KeyBanc Capital Markets: Got it. In terms of European food cans, given the protracted volume weakness, how would you characterize the competition at the moment? And what, if anything, that means as it relates to Mivisa's business?
John Conway: We felt and I think all of you who observe the industry have felt for quite some time that there’s an opportunity for further consolidation in the European food can business. the European food can business is much more fragmented than North America. At the same time, every possible acquisition is not a good one. We’ve looked at everything that’s been for sale over the past five or six years. We’ve taken passes on a couple, but others we’ve acquired and we’re happy that we did. So we didn’t want to make a difficult situation worse by buying a high cost supplier with too many buildings and too few union issues and all the rest of it. So I think Mivisa acquisition for us is going to be ideal. It does two or three things. It gives us a leading position in a leading food can market Spain where we were quite weak. I think that’s going to be very, very good and it gives us a very, very low cost supplier that we can use to help us in the balance of Europe grow and protect our business. So we think it’s going to be positive.
Adam Josephson – KeyBanc Capital Markets: Thanks, John and just one last one on Asia Pac. EBIT was slightly down last year. What are your expectations along those lines this year, particularly given that pricing in China still appears to be weak?
Timothy Donahue: I think we’re going to continue to progress the new operations through new startup. We’ll have less startup costs. We’ll sell more units. Clearly the outlook in China is for volume growth to continue in the industry. Another 14% or 15% is the outlook for Chinese growth on the back of the market growing a little bit more than 12% this year. And then I think we’ll have a representative piece of that growth. But as you say, pricing in China is still very challenging. There is --our estimate of industry utilization right now is in the 70% to 75% range as the number of the smaller local competitors have brought up or are bringing up capacity and are underutilized. We are in fact very well utilized in China, although pricing remains challenging. Now in Southeast Asia we’re actually doing quite well. The only area where we potentially have a little bit of excess capacity is Cambodia just owing to the political turmoil there. But that situation can change very rapidly. I think if they resolve their issues we would expect that any of that excess to get sapped up quite quickly.
John Conway: I think adding that a little bit just to give you a little more flavor here, in China for the year we were up 35% in units, 35%. In the quarter we were up 38% in units. I think this year we will probably be the number one beverage can producer in China. We have a national network of beverage can plants where the only company now in the country that does, we line up exceptionally well now for the multinationals and nationals, the brewers, the soft drink companies, the Asian drink companies. We can serve their beverage can needs throughout the country. China has been traditionally for us somewhat volatile. I think everybody would say the same. The overall direction has been upward. But we have swings and we’re having a little bit of a swing right now, the type that Tim just referred to. But the overall direction we feel very positive about and we know it’s a valuable asset for the company and it’s going to be hugely valuable in the future.
Operator: The next question is from Chris Manuel with Wells Fargo.
Chris Manuel – Wells Fargo Securities: Good morning, gentlemen. Just a couple follow-ups back to some previous questions. If I can start with your guidance for 2014, the earnings piece. If you were about $3 this year, and I think by my calculation the bad debt was about $0.15. So if we start at a $3.15 base and you talked about $400 million of share repurchase, that would be about 7% of shares outstanding. I can -- when I look at your guidance of essentially what would be flat at $3.15 to even less than the 7% at the top end, I’m scratching my head. So I guess where I'm going with my question is I appreciate that pension will be down a bit. Even if you produce that level similar to underlying markets as you suggested that the European food situation is improving, what -- there must be some negatives in there that maybe we are not appreciating. Could you help us with -- bridge the differential between the years, please?
Timothy Donahue: Chris, I think -- Tom can talk about it later, but I do think that year-on-year two things that will be up are depreciation expense and I think our tax rate will be higher in 2014 than it was in 2013 or at least initially our expectation for tax. And Tom can comment on that when I get done talking about the businesses. But as John described earlier, and as you know, the North American beverage business has been declining over the last several years. So it’s pretty tough for us to sit here and give you a forecast that although we’ve not been impacted by the market declines over the last several years because of our customer mix, we are well aware of the fact that eventually we’re going to -- our performance and volume performance in North America will reflect more in line with the market performance. So there’s an element of that built in. until we get the Teresina operation up and running, we are a bit capacity constrained in Brazil. We’ve done exceptionally well over the last several years, as have others in adding capacity. And the Brazilian experience as you know, deepening on who is adding capacity the latest, that’s who is benefiting the latest because the market continues to grow and it’s a great market. But we do need to get the Teresina operation up and running. Food can North America, as we described we had a bankrupt customer. We’ll lose a little bit of volume in 2014 compared to 2013 and until the situation is settled with that customer and the auction process with that customer is going through, it’s uncertain and certainly unclear as to whether or not we’re going to retain or lose the volume that we previously had. I think as we look at European beverage, we’ll continue to make progress in European beverage. We had a really good year this year. We’re not immune to the to the aluminum premium issue that you are well aware of in Europe. And obviously the premiums are at an all-time high right now. And we talked about Asia, Chinese pricing being very challenging at this point. So I think all in all the operations I think are going to do quite well. The non-operational items that you talked about were offset by depreciation and tax.
Chris Manuel – Wells Fargo Securities: Actually that's very, very helpful. Second question I had was, I appreciate you're still in the throes of things with Mivisa, but any update or can you give us maybe just a little bit of color as to maybe where some of the sticking points are? And any update with respect to timing? I think previously you had indicated in the first half. Is that still a reasonable expectation or might it leak longer than that?
John Conway: Chris, I don’t want to go into specifics of sticking points because we’re in discussion with the commission about our views about what issues might be and their views and reconciling them. but I do -- as I said earlier, the thing that we have been impressed with is how efficient and quick the commission has been to respond and point out issues to allow us to answer them, to gather information. So the process is going as well, I’m told by our lawyers and economists as we could have hoped. So we think that’s good and we’re not seeing anything develop so far that we had not anticipated might. So in terms of timing, we’re still hoping for the first six months. But I don’t want to say too much about that because the commission has their own views. But we’re doing everything we can to respond to them in such a way that the process can go rapidly. So, so far so good is our view and we’ll keep you advised.
Operator: The next question is from Philip Ng with Jefferies..
Alex Hutter – Jefferies & Company: This is Alex Hutter on for Phil. One of your competitors in food cans in North America said that they’ve locked up some business with long-term contracts and have given up a bit of price. Should we expect any price erosion and do you have any color on business that’s up for renewal in the next few years?
John Conway: As you know in North America the convention is all the participants largely have long term contracts. The customers like it. it enables them to plan. We like it. it enables us to work on improving efficiencies, lowering costs, improving quality in ways that are substantial to the customer’s benefit. So right now for example over 75% of our business is under long term contract. we have been in the process of extending contracts. It’s a normal process. That will carry on into 2014. And as we do that, we initially see some margin compression which we then try to correct and usually do over time. so the process that I think has been described and you’re familiar with is similar to what Crown is going through and has gone through and plans to continue to go through.
Alex Hutter – Jefferies & Company: Okay, and then just one follow-up. What’s your expectation on steel tinplate prices and have you locked it up? Do you expect to pass it on fully?
John Conway: Yeah. I think Tim has got some information on that in North America and in Europe.
Timothy Donahue: I don’t acutely have it in front of me. I do think tinplate this year will be a bit more muted than it was last year. Will be fairly flattish and in Europe it could actually be up a touch and perhaps even up a touch here in North America and we do expect to pass that on.
Operator: The next question is from Al Kabili with Macquarie.
Al Kabili – Macquarie Research: The first question I had is on Brazil and I think, Tim, you mentioned up 7% for the full year. I believe you were running double digits through the first nine months. So does that imply that we saw a deceleration in the fourth quarter? Or just help us with what you are seeing in Brazil? I know you mentioned you're sold out there.
Timothy Donahue: What it implies is that the ramp up from the capacity that we added in 2011 and 2012 in Ponta Grossa and Estancia was more fully seasoned in the back half of last year and we just don’t have the excess capacity comparatively at the end of 2013 versus 2012 as we did in the earlier quarters.
John Conway: We ran out of capacity. That’s all -- we’re actually full in the fourth quarter.
Al Kabili – Macquarie Research: Okay, got it. So just kind of given capacity constraints you were closer to flattish in the fourth quarter capacity driven, but you still see the demand very robust it sounds like?
Timothy Donahue: Yes.
Al Kabili – Macquarie Research: Okay. that's helpful. Thanks. I wanted to get on Europe food and also the non-reportable segment, which was real solid in the fourth quarter. What do you see as the cost savings? You mentioned some additional cost savings actions you're doing. Can you just help us with what you see the favorable benefit from those items in 2014, both in Europe food and in the non-reportable?
John Conway: We gave you that in the third quarter call I believe and talked about the restructuring charge that we took and how it would break out in 2014 and 2015. Honestly, I can’t sitting here, remember it. I think if you would call Tom after the call he’ll give it to you again.
Thomas Kelly: Yeah. I think it was about -- the total savings were something on the order of $30 million 2015 and 2014 and 2015 and 2015, something like that.
John Conway: That sounds right, but please call us and we’ll let you know.
Al Kabili – Macquarie Research: That's fair. We could follow up. But it sounds like it’s tracking as you expected on the third quarter.
John Conway: That’s correct. As you know or maybe you don’t know, with European headcount initiatives, they take time to achieve. Everybody has a contract. Everybody has a notice provision. The notice provision is set by law, often by convention. It’s longer than that. so there’s always a delay and that’s what Tom is referring to.
Al Kabili – Macquarie Research: Okay, understood. And along those lines -- and I understand certainly production was an impact in the fourth quarter, but the savings that you realized in 2013 it looks like they are being offset by some underlying pressure in the business. And I was wondering how you were thinking about that in 2014 and specifically as well how you’re thinking about pricing in 2014 on the food can side in Europe.
Timothy Donahue: Are you talking Europe?
Al Kabili – Macquarie Research: I'm talking Europe, yes.
Timothy Donahue: Okay, Europe. So as we’ve said in previous quarters, we have had negative mix or unfavorable mix in the business this year in that we’re selling more lower margin small diameter cans as opposed to the larger diameter higher margin cans. And so that has been an issue that the business and the entire food market has been dealing with over the course of the year. And naturally whenever there’s pressure and there has been pressure for the last several years, three is a bit of price compression as the competition. And as John described earlier, it’s a bit more fragmented than we have here in North America as the competition scrambles to gain cans. I think the outlook as we look at 2014 is that in the absence of anything materially changing from the fillers, we expect the market to remain very competitive. And I think that’s one of the reasons that John said earlier we’re trying to remain more conservative than not in our forecast.
Al Kabili – Macquarie Research: Okay. Thank you for that, Tim. I appreciate it. Final question is just on the political situation in some of the emerging markets. I think you mentioned Cambodia. There's certainly some things going on in Turkey as well. And I was wondering if you could help us with what the trends were in these markets in the fourth quarter and are you seeing any disruption thus far in the first quarter related to this?
John Conway: Let me try. I won’t comment on the politics of it all, but as we’re reading the same newspapers you’re as aware as we are the areas where we’ve had difficulties. But we’re accustomed to it. we’ve been doing this for a long time. but in terms of -- for example Tim mentioned Cambodia where sales were down, no doubt year on -- well, they weren’t up as much as we had hoped year-on-year, but southeast Asia for the quarter we were up 18% in units, 18% in spite of the difficulties in Cambodia and Thailand. So we feel pretty good about it. Turkey the business was solid all year long. Middle East essentially flat year-on-year I believe. Tim can correct me.
Timothy Donahue: That’s correct.
John Conway: In spite of the difficulties about what’s going on in Syria and in or Iraq and Lebanon and so forth, the business was flat. So yeah, the underlying demand is there. These economies continue to grow. So we work our way through these various political difficulties and overall demand just keeps going up.
Timothy Donahue: Yeah. the only thing I would say, as John said we were up in Cambodia in the fourth quarter on the order of about 12%. Now the problem with that is that we expected to be up 20% to 25% in Cambodia in the fourth quarter and that’s why we added capacity and we have a long term contract with a large brewer in that country. But the political situation has not subsided materially from when they had their elections back at the end of the third quarter, or back in the summer. I think it was July perhaps. There’s been a number of public protests that are ongoing. And then for any of you that actually read the newspaper or watch the news, you’re well aware of the problems in Bangkok right now, that there is violence from time to time and it is shutting down transportation lanes.
Al Kabili – Macquarie Research: Okay, all right. Great. We’ll continue to watch that and appreciate -- John, Tim, I appreciate all the color. Good luck the rest of the year. Thanks a lot.
Operator: The next question is from James Armstrong with Vertical Research Partners..
James Armstrong – Vertical Research Partners : The first question is on your CapEx. You still are guiding around $275 million in CapEx, but unless I missed it, I didn't hear that you're announcing any new facilities. Could you help us figure out why that number is staying up at that level this year without any further facilities, or am I just missing something?
John Conway: It’s true we haven’t announced any new factories if that’s what you’re referring to. But there are other opportunities that we have that we think are quite attractive. So I don’t want to go into detail because they’re still frankly confidential. We’re still working with the customers that we have targeted and it’s across a range of businesses. It’s not any one business. But it is true. We haven’t announced any new factory.
James Armstrong – Vertical Research Partners : Okay, very good. And then switching gears, I think your competitors have talked about the global growth rate in beverage cans. What’s your opinion on the long-term global growth rate in that business?
John Conway: We can honestly say with our hands on our hearts that we don’t have a clue. Except for that everything up I suppose, but we don’t look at it that way. I guess that’s something the aluminum can sheet people want to talk about. But we just go market by market and basically I’d say right now we regard every beverage market that we’re in with the exception of the U.S/Canada as a growth market, either because the overall economies are growing or because there’s a segment of beverages that’s growing or in many cases because the package mix move going on from typically from glass to aluminum cans. So other than North America, we’re pretty bullish. I honestly couldn’t tell you. I’ve seen people talk about 4% to 5%, something like that. I’ll take their word for it, but we just don’t spend much time with that.
Timothy Donahue: The problem with the 4% to 5% as John says is muted by low to no growth in North America, which is a very big market. So the non-North American markets are -- for example Europe could be 3% to 5% and Brazil could be 10% and southeast Asia and China could each be 10% to 15% to 20%.
Operator: The next question is from Chris Manuel with Wells Fargo.
Chris Manuel – Wells Fargo Securities: Good morning. I wanted to follow up with a couple more questions, if I could. We haven't spoke much about the Middle East for a while and specifically -- or even as we look across all of Europe, it sounds like -- or, quite frankly across your whole platform -- you’re about out of capacity. So I know you're adding a bit in Brazil that comes online maybe later this year. but could you maybe speak to your appetite to continue to add some lines or put some more capacity in globally? What might be the best markets to do that in? And maybe that involves repositioning some assets out of North America to other places. But when I look at your -- to come back to the earlier question, $275 million of capital, I think your maintenance is in the $125 million, $150 million range. Clearly that leaves room for a plant or several lines different places globally. So how are you thinking about that?
John Conway: I think the way we’re thinking about it is pretty much the way you’re thinking about it. we’re sold out in the Middle East and North Africa. We’re sold out in Europe. We’re sold out in Brazil, although we’ve got a new plant coming on. So that will be helpful. We’re probably okay in Southeast Asia because we’ve got the new plant in Danang and the new plant in Cambodia, new plant in Thailand. And they’re still coming up earning curve and becoming more productive. We’re perfectly fine in China and we have no intention of adding anything. So I guess you’d say at the moment it would appear we’re probably the tightest in beverage in the European division and will be soon again in South America. But we’re being very, very careful, Chris, about capacity additions. We’re very conscious of supply demand balance. The way we as an industry lose the game is by pushing things too hard from a capacity standpoint. So we’re just very, very careful about that.
Chris Manuel – Wells Fargo Securities: But with the platform you have in place today, the last couple years you’ve been -- I think you mentioned up 5% or 6% this year for global beverage volume. Similar amount last year. When we’re sitting here a year from now or as you look forward baked in your projections, are you anticipating having on a global basis an up year in beverage again, all things considered?
John Conway: Oh yeah, we’ll be up year-on-year.
Chris Manuel – Wells Fargo Securities: Okay. But low single digits, mid-single digits?
John Conway: At the moment mid-single digits we guess, yeah.
Operator: The next question is from Debbie Jones with Deutsche Bank.
Debbie Jones – Deutsche Bank: I was wondering if we could just go back to the aluminum premium. Not that anyone can predict where this goes, but what type of an impact would this have on your European business in 2014 at current levels?
Timothy Donahue: Based on where we’re at today which as you know is quite high, I think it’s on the order of 5 or 6 million euros from where we’re at today if it doesn’t subside. And much of that impact would be felt in the back half of this year and we’ll just see what happens over the next several months.
Debbie Jones – Deutsche Bank: Okay. I guess in the US, considering it's typically the customer that absorbs this, do you think there could be any residual impact on the pack mix in North America? Are we at that point or is that not really an issue in your view?
John Conway: No. I don’t think it’s an issue because although as you know the regional premiums in North America also have been up. The underlying LME is down. So net-net it’s not much of an impact and I don’t think it’s anything that the customer is going to find difficult to absorb.
Debbie Jones – Deutsche Bank: Okay. And I guess last question; did you quantify what the CapEx outlook for Teresina would be in 2014?
Timothy Donahue: I don’t think we did.
John Conway: I don’t think we did. I don’t know that it’s a lot. We’re completing the factory. So we’re all scratching our heads here, maybe $10 million or $15 million, something like that. it’s not much.
Operator: Our final question today is from Ghansham Panjabi with Robert W. Baird
Ghansham Panjabi – Robert W. Baird: John, you mentioned the North American supply/demand dynamic. You thought it seemed to be in pretty good shape. The industry did go through a fair amount of capacity consolidation during the course of the recession and certainly one last year as well. But wouldn't you say that the demand dynamic has actually gotten materially worse since then? And what if the end markets are down another couple percent this year in 2014, would that change your view on capacity utilization for the industry in North America?
John Conway: It might, Ghansham but little perspective. We just went back in history and took 2000 through 2013. The North American U.S and Canadian market went from 107 billion down to 93.8 billion in 2013 as you know. During that period, Crown closed four beverage can plants. One of our competitors closed three. One of our competitors closed 10. Now, the one who closed 10 had made several acquisitions and was closing high cost plants of the least efficient competitor in the industry. But nonetheless it’s 17 plants. So we look at that and we say on the face of it, even last year it doesn’t create a lot of difficulties, particularly when you consider that there’s been a lot of move we have on others to specialty cans and inherently different sizes to the extent you’re doing size changes and so forth. You’re taking some capacity out just by nature of what you’re doing. But I don’t disagree. Another 3 billion or 4 billion in North America you start seeing some real stress. But we don’t think that’s going to happen. But stay tuned. And as you know, we have not been investing very much money in the North American beverage can business. We’ve done some specialty can investments of course, but we hate to recapitalize an existing business since -- but we’re doing that very, very carefully. But yeah, we’re cautious about the whole thing, but we don’t think that where we are today is cause for panic.
Ghansham Panjabi – Robert W. Baird: Okay, that makes sense. And then on Mivisa, just to confirm, so would you say that the process so far from a regulatory standpoint is perfectly normal and in line with your initial expectations? And has your view on timing changed in any way, John?
John Conway: I hate to comment on the process -- characterize it. we’re always thinking we don’t want our friends at the commission to be listening to this to think that we’re being presumptuous about the process. We’re cooperating with them in every way that we possibly can. We’re impressed with how efficient they’ve been, the quality of the questions, the follow up. We’ve been fully cooperating as they identify issues that they think might be problematic, our responses and solutions. So it’s going well from our perspective and we hope it is from theirs. I think that’s probably all we should say, Ghansham.
Ghansham Panjabi – Robert W. Baird: Okay. And just one final one, maybe for Tom. Tom, did you call out the cash restructuring costs as part of your $450 million of free cash flow for 2014?
Thomas Kelly: The cash spend you’re saying?
Ghansham Panjabi – Robert W. Baird: Yes.
Thomas Kelly: Yeah. I think it’s something in the neighborhood of $30 million in that $450 million.
Ghansham Panjabi – Robert W. Baird: And how will that shake out in 2015, based on what you know?
Thomas Kelly: I think that we don’t have any -- currently don’t have any other announced projects. So that should wrap up for the most part the announced projects.
John Conway: Okay. Wendy, I think those were all the questions and in that case, we’ll say thank you very much and this will conclude our call today and we look forward to seeing you in several months’ time. Goodbye.
Operator: Thank you. This does conclude today's conference. thank you very much for joining. You may disconnect at this time.